Operator: Welcome to the Xylem Third Quarter 2021 Earnings Conference Call [Operator Instructions]. I would now like to turn the call over to Matt Latino, Vice President of Investor Relations.
Matt Latino: Thank you, Ashley. Good morning, everyone, and welcome to Xylem's third quarter earnings conference call. With me today are Chief Executive Officer, Patrick Decker; and Chief Financial Officer, Sandy Rowland. Tony Milando, our Chief Supply Chain Officer, is also joining today's call. They will provide their perspective on Xylem's third quarter results and our outlook. Following our prepared remarks, we will address questions related to the information covered on the call [Operator Instructions]. As a reminder, this call and our webcast are accompanied by a slide presentation available in the Investors section of our Web site at www.xylem.com. A replay of today's call will be available until midnight on November 9th. The telephone replay will be available at 1(800) 839-8707 or 1(402) 220-6076. Additionally, the call will be available for playback via the Investors section of our Web site under the heading Investor Events. Please turn to Slide 2. We will make some forward-looking statements on today's call, including references to future events or developments that we anticipate will or may occur in the future. All references will be on an organic or adjusted basis unless otherwise indicated. These statements are subject to future risks and uncertainties, such as those factors described in Xylem's most recent annual report on Form 10-K and in subsequent reports filed with the SEC, including in our Form 10-Q to report results for the period ending September 30, 2021. Please note that the company undertakes no obligation to update forward-looking statements publicly to reflect subsequent events or circumstances, and actual events or results could differ materially from those anticipated. In the appendix, we have also provided you with a summary of our key performance metrics, including both GAAP and non-GAAP metrics. For the purposes of today's call, all references will be on an organic and adjusted basis, unless otherwise indicated. Non-GAAP financials have been reconciled for you and are in the appendix of the presentation. Now please turn to Slide 3, and I'll turn the call over to our CEO, Patrick Decker.
Patrick Decker: Thanks, Matt. Good morning, everyone, and thank you for joining us. By now, you will have seen that the team delivered a solid third quarter performance with earnings and margins above our expectations. The fast pace of orders growth that we saw in the first half of the year has continued, with orders up 20% in the quarter, driving our backlog up 34%. That commercial momentum reflects strong underlying demand for our solutions, which continues to be robust in all segments, markets and geographies. Nevertheless, supply-driven constraints on volume slowed the conversion of orders to revenue. A month ago, we indicated a probable $100 million impact on full year revenue, driven by the global supply chain environment. The continuing shortage of electronic components, especially microcontrollers and other chips, is particularly affecting players with large digital solution businesses like Xylem, so we're reflecting those ongoing challenges in our full year view. Having raised guidance at the end of the first and second quarters, we now anticipate that the constraints on volume will moderate our full year revenue growth to between 3% and 4% and bring adjusted earnings per share into a range of $2.40 to $2.50, which represents roughly 20% EPS growth over last year. The growth in orders and EPS reflects the privileged position we're in. Macro trends in our sector are driving durable and increasing demand for sustainable digital water solutions. And the team is executing on a clear strategy to drive above market growth and expand margins as our portfolio continues to digitize. This quarter has been a vivid demonstration of those trends. The team has also shown its ability to capture that demand while showing real discipline on cost. Still, given the impact that supply headwinds are having on volume, we'll provide some additional color on what we're seeing and how the team is addressing those conditions. I've invited Tony Milando, our Chief Supply Chain Officer, to join us on the call today. But first, let me hand over to Sandy to look at the third quarter in more detail, and then we'll turn to a discussion of the market landscape that we see through the end of the year. Sandy, over to you.
Sandy Rowland: Thank you, Patrick. Please turn to Slide 4, and I'll cover our Q3 results in more detail. Revenue grew 2% organically compared to the prior year. Utilities, our largest end market, was down 5% despite continuing strong demand. The decline was driven by supply chain impacts on order conversion, especially chip shortages, slowing M&CS deliveries. Industrial was up 11%, led by continued growth in Emerging Markets and Western Europe. Commercial grew 10%, led by the ongoing recovery in the United States, while residential, our smallest end market, was up 4%. Geographically, Emerging Markets was up high single digits, with particular strength in Eastern Europe and Latin America. Western Europe was up mid-single digits while the US declined modestly. As Patrick mentioned, the team delivered exceptional organic orders growth of 20%, which was broad based across all segments and regions. In fact, year-to-date order volume is higher at this point of the year than in any previous year in company history. M&CS led the way with nearly 40% -- 42% orders growth, driven by large smart metering contract wins, the impact of longer lead times and pent-up demand from a COVID-19 impacted prior year. We're exiting the quarter with an overall backlog of 34%. And as expected, we are seeing positive momentum on price realization, which will continue ramping through Q4 and into 2022. Looking at other key financial metrics. Margins were above our forecasted range with EBITDA margins coming in at 17.9%, reflecting strong productivity and good cost control by the team. Year-over-year, EBITDA margin contracted 30 basis points as inflation and strategic investments were largely offset by productivity, price realization and cost containment. Earnings per share in the quarter was $0.63. Please turn to Slide 5, and I'll review our segment performance for the quarter. In Water Infrastructure, orders were up 9% on strength in wastewater transport applications in the US and Western Europe. Revenues were up 2% organically. Wastewater Utilities were down modestly, mostly due to delays in ocean shipping. Industrial demand was broad based across all regions. Regionally, Emerging Markets delivered high single digit growth, led by increasing industrial dewatering activity. Western Europe was also up, driven by resilient wastewater OpEx spending and recovery in industrial applications. The US was down modestly due to the shipping delays I just mentioned. EBITDA margin expanded over the prior year as strong productivity savings, price realization and volume leverage more than offset inflation and investments. Please turn to Slide 6. In Applied Water, orders were up 17% organically in the quarter on broad industrial strength and commercial recovery. Revenue grew 8% in the quarter from continued commercial momentum and industrial growth in most regions. Residential growth moderated slightly due to volume constraints. Geographically, the US and Western Europe both contributed 6% growth due to the uplift from commercial and industrial. Emerging Markets were up 13% on continued strength in China and gains in Eastern Europe. Segment EBITDA margin contracted 60 basis points compared to the prior year as inflation and investments more than offset productivity benefits and price realization. And now please turn to Slide 7 and I'll cover our Measurement & Control Solutions segment. In M&CS, orders were up 42% organically as I mentioned a moment ago. Our M&CS backlog now stands at roughly $1.6 billion. The bidding pipeline remains very active as customer demand for advanced digital technologies accelerates. Organic revenue was down 5%, which is a tangible effect of chip shortages. Water applications were down modestly as growth in our test and assessment services businesses largely offset lower sales from smart metering. Due to the digital composition of our metrology portfolio, it has a greater exposure to chip shortages. By geography, Western Europe was up 1% while Emerging Markets was flat. The US was down mid single digits. Segment EBITDA margin in the quarter was down 60 basis points compared to the prior year as volume declines from component shortages and higher inflation offset productivity and price realization. And now let's turn to Slide 8 for an overview of cash flows and the company's financial position. Our financial position continues to be very strong. We closed the quarter with $1.3 billion in cash after paying down $600 million of debt in the third quarter. Free cash flow conversion was 57% in the quarter in line with our expectations, and we continue to expect full year free cash flow conversion of 80% to 90%. Net debt-to-EBITDA leverage was 1.3 times at the end of the quarter. And now please turn to Slide 9 and I'll turn the call back over to Patrick.
Patrick Decker: Thanks, Sandy. The team has clearly done a great job delivering a solid quarter's earnings in difficult circumstances. I want to give a special shout-out to our sales, service and supply chain teams. They've been pulling out all the stops to care for our customers despite the unusual challenges. Let's turn to the quarter now and look forward. Since the supply chain environment has everybody's attention, we want to provide more detail on what we're seeing and the actions we've been taking. So I've asked Tony Milando, our Chief Supply Chain Officer, to walk us through that. Tony, over to you.
Tony Milando: Thank you, Patrick. I'm sure many of you are already familiar with the various dimensions of stress on the supply chain across all sectors. Material shortages are having at least some effect on each of our segments with particular challenges in microcontrollers and other chips. In addition, logistics times have continued to lengthen and carry reliability is at an all-time low. We're also seeing labor tightness in markets where we have significant manufacturing, particularly in the US. Of course, all of this has contributed to inflation across commodities, logistics and labor. We're managing the challenges with both short term mitigations and longer term actions. In short term, we're committing freight with carriers nearly two months further ahead than usual. We're using fast boat options to gain access to smaller ports and thus improve lead times. And we've accelerated value engineering and dual sourcing. To create more resilience beyond that, we're working directly with our technology manufacturers to firm up allocations well into 2022 and beyond. We've dedicated teams to accelerate product redesign rounds around components that are unavailable or nearing the end of life, and we're taking advantage of this opportunity to take strategic actions around SKU rationalization. One more thing to mention, albeit with a slightly greater time horizon, there's been a lot of discussion about cross border supply chains. Our developed markets largely depend on global supply chains. What we've seen is that in several cases, the current challenges aren't hitting our emerging markets nearly as hard, simply because we have well established localization strategies there. So to that point, we'll continue to drive our strategy of making where we sell, always evaluating the benefit of shortening domestic supply chain. Patrick, that's the overview. Of course, I'm happy to go into more detail perhaps in response to questions when we get to Q&A.
Patrick Decker: Thank you, Tony. So now turning from supply to demand. It's essentially the opposite story. Bidding pipelines are very active, orders pace continues to be at risk and we are not seeing project cancellations. We're staying as close to our customers as we are to our suppliers and doing everything we can to keep them served and, in turn, to help them serve their communities. Just last week, we had about 500 of our customers join us at our annual Xylem Reach User Conference. These are utility operators who are at the forefront of digitizing their networks with AMI and advanced analytics. What we continue to hear from them is that the value they're getting from these technology deployments continues to grow. In the short term, supply constraints are top of mind for nearly all of them. And from their vantage point, they're seeing the same challenges industry wide, so they're being patient and staying as flexible as possible. On longer term demand, the trends driving the water sector are more durable than the causes of today's supply headwinds. One example is the growing market for sustainable solutions. A month ago, we announced Xylem's commitment to net zero greenhouse gas emissions and to science based targets. Over the next two weeks, the water sector will be turning out in force at the COP26 Climate Conference in Glasgow to encourage utilities around the world to do the same. Xylem will be sharing platforms at COP utility leaders as they call on their peers to also make net zero commitments with the aim of decarbonizing the entire sector. More than 65 water utilities around the world have already done so and it's a movement that's gaining momentum, which is just one reflection of the trend toward technologies that affordably decarbonize water systems. Turning back to the near term drivers in our end markets, I'm going to hand it back over to Sandy to share some detail on what we're seeing and to lay out our guidance for the balance of the year.
Sandy Rowland: Thanks, Patrick. The full year outlook for our end markets remains largely consistent with our view from last quarter, with the exception of utilities. In utilities, underlying demand for our technologies continues to be very strong in both wastewater and clean water. But in the immediate term, we expect growth will come down from a range of mid to high single digits to flat. On the wastewater side, we have seen steady performance in Western Europe on resilient utility OpEx and continued growth in Emerging Markets as a result of large capital projects and our localization efforts there. Order rates remain solid in the US but revenue growth is challenged by constraints on volume. On the clean water side, demand for smart water solutions and digital offerings continues to be robust. However, consistent with our earlier commentary, the impact of chip shortages is particularly acute in the clean water end market. And now please turn to Slide 11. Looking at the industrial end market, we continue to anticipate growing in the high single digits. The growth is broad based with rebounding industrial activity across all segments and most regions. We're seeing healthy demand in our industrial de-watering business in Emerging Markets as well as share gains with OEMs, and the impact of the new product introductions in Western Europe. We're also seeing continuing strength in marine and food and beverage, driven by ongoing recovery in outdoor recreation and the hospitality sector. We are also maintaining our high to mid single digit outlook in the commercial end market. The US business continues to recover at a brisk pace as new commercial building begins to ramp, and key leading indicators reflect optimism for continuing recovery in the institutional sector. Sustained growth in Western Europe and China is coming from new product introductions and energy efficiency mandates. In residential, we're maintaining our expectations of low teens growth for the full year on strength of backlog and continuing market momentum. And now let's turn to Slide 12 and I'll walk you through our updated guidance. For Xylem overall, we now see full year organic revenue growth in the range of 3% to 4%, down from the previous range of 6% to 8%. This reflects the adverse effects of chip shortages and other supply chain disruptions. This revenue guidance breaks down by segment as follows. For Water Infrastructure, we maintain our expectations of mid single digit growth. We expect high single digit growth in Applied Water, down from low double digits. And in Measurement & Control Solutions, we now expect to be down mid single digits rather than up mid single digits. We are now expecting EBITDA margins in the range of 17.1% to 17.4% compared to our previous guidance range of 17.2% to 17.7%. This guidance represents full year margin expansion of roughly 100 basis points. Our adjusted EPS guidance is now $2.40 to $2.50 which, at the midpoint, reflects 19% increase in EPS over last year. Full year 2021 free cash flow conversion is in line with previous guidance at 80% to 90%, putting our three year average right around 130%. We've provided you with a number of other full year assumptions to supplement your models. Those assumptions are largely unchanged from our original guidance. We have updated our euro to dollar conversion rate assumption for the fourth quarter from 1.18 to 1.16. And as you know, foreign exchange can be volatile so we've included our typical foreign exchange sensitivity table in the appendix. Now before wrapping up, let me share some thoughts on our fourth quarter outlook. We anticipate total company organic revenues will be down roughly 4% to 6% in the quarter. This includes flattish growth in Water Infrastructure and Applied Water and M&CS down high teens. We expect fourth quarter adjusted EBITDA margin to be in the range of 16% to 17%. And with that, please turn to Slide 13 and I'll turn the call back over to Patrick for closing comments.
Patrick Decker: Thanks, Sandy. Just in the last couple of days, we've been recognizing Xylem's 10-year anniversary. The Xylem ticker started trading a decade ago when the company spun out of ITT. Some of you have been with us since the very beginning, and I want to say thank you for your confidence in us. 10 years ago, it wasn't nearly as obvious to the market that water was an investable thesis, much less than it was about to become a growth sector. Our anniversary has been a reminder to reflect on how much progress we've made. I genuinely believe our team has created something special. And along the way, we've been creating a lot of value. Xylem's total shareholder returns have been nearly double the S&P 500 over the decade. But what's most exciting to us are the opportunities that lie ahead. The immediate challenge around supply chain are a good reminder that growth rarely happens in a straight line. But the trends driving demand in the water sector are only intensifying and we're strongly positioned on those trends. We have an outstanding purpose driven team that's passionate about solving the world's water challenges. We built technology leadership on the foundation of a durable business model. We're benefiting from the growing market for sustainable solutions, and we're driving growth and margin expansion on the back of digitization. All of which underpins our commitment to the growth framework that we laid out last month at our Investor Day. So I'm confident that our current market momentum will carry us strongly into 2022 and beyond and keep us on pace to deliver our 2025 strategic and financial milestones. Now let's turn the call over to you, and we're happy to take any questions you may have. Operator, please lead us into Q&A.
Operator: [Operator Instructions] We'll take our first question from Scott Davis with Melius Research.
Scott Davis: It's a busy day here, but the comments on chip shortage are not unique just to you guys. But can you help us understand, particularly with Tony on the line here, I mean, how does this work? Do you know when you're getting chips in? Do you have visibility around deliveries? Do we get a bunch of them in January and then you're able to make deliveries in 1Q of next year? I mean, just help us understand a little bit about how you think about when you get chips and when you can actually -- and visibility around that?
Tony Milando: I mean, we deal with our contract manufacturers and our electronic suppliers. We give them forecasts and it's very similar to the way we deal with all of our materials. We provide forecast in advance. We're committing forecasts out over a 12 to 24 month horizon depending on the component. So it's not very different than anything else we do in terms of how we get supply in, no more complicated than that.
Patrick Decker: I think, Scott, to your question also, how quickly will this snap back? And Tony, maybe you can comment on that because we don't see this being, all of a sudden to your question, Scott, in the month of January, a bunch of chips show up and the problem is resolved. It's going to be a bit of duration here as we work through the constraints. But Tony, do you want to comment on that?
Tony Milando: So there's a number of industries that are all clamoring, as you guys know, from the constraints, whether it's industrial or automotive or the personal electronics industry. So we're all looking for the same things. And so we are working very closely with our contract manufacturers and directly with our technology manufacturers, the IDMs, to make sure that they understand our demand and what they're committed to and we're looking to get those in over the course of the next 12 to 24 months. And so we anticipate it to get better. We don't know when that's going to get better but it will certainly -- we certainly do expect to get better as we move into next year.
Patrick Decker: And I think, Scott, there are a number of people that are out there right now that are prognosticating on when this is going to get resolved. And there are different views across the board. What we're trying to do is to give you a very balanced responsible view because there still is uncertainty. And Tony and the team are working their backsides off to make sure that we get, hopefully, more than our fair share of allocation of the chips. And again, we'll know more about that as we come back around in our Q4 earnings call.
Scott Davis: And when you miss a shipment to a customer, I presume that moves into backlog at that point? Or at that point, does the customer have the right to cancel and perhaps goes to somebody else? I mean, are the lost revenue risk, I mean mechanically help us understand that.
Patrick Decker: So yes, we've not seen any project or order cancellations. Things are moving to the right. The reality is our competitors are dealing with the same issues. And as I mentioned in my prepared remarks, customers are being patient because they're seeing this as an industry wide issue. And when you think about the criticality of what we do here for, especially utilities, it's a comment I made about our Reach User conference. We got a lot of really good feedback from, again, more than 500 attendees there. And they understand the situation. So things move to the right. And I mean, do they have the right, in some cases, to cancel? Certainly, but they don't have other alternatives right now to go for.
Operator: And we'll take our next question from Andy Kaplowitz with Citigroup.
Andy Kaplowitz: Maybe you could just give us more color on overall how you're thinking about getting ahead of cost pricing productivity. I know you've previously mentioned you raised price a number of times. Do you think you can get ahead of inflation, logistics costs as you turn the calendar into '22 with pricing and productivity?
Sandy Rowland: Let me give you a little bit of color. First of all, we are seeing the price realization come through as we expected. So we expected to start seeing that tick up in Q3 as we work through some of the backlog of earlier orders. And we do expect that momentum to continue to accelerate into Q4 and into 2022. When I look at where we stood in the third quarter, if you look at price and material and freight costs as a basket, we're neutral. And as we move into Q4, we expect that will be modestly positive.
Andy Kaplowitz: And then I wanted to follow up on Tony's prepared remarks where he mentioned that Xylem is better positioned in Emerging Markets because it is very local for local supply chain, whereas in developed markets, maybe a little more of a global supply chain. So could you give us a little more color on what could be done to improve localization in developed markets? Does that mean a ramp-up of investment here in the US, for example?
Tony Milando: So first of all, our underlying strategy is to make where we sell. So while in Emerging Markets, we're highly localized there, we're pretty substantially localized also in Europe and in the US from a manufacturing perspective. But we will continue to move in that direction to bring local supply to those regions where the business case makes sense. So we are less localized in the US and in Europe but we're still substantially supporting those regions by in-region supply chains basically.
Patrick Decker: And there's definitely not a -- you should not expect, Andy, to see any significant uptick in either OpEx or CapEx to address localization in the US. This is not a material thing. It's more working with our suppliers and our third-party manufacturers to have them work with us to move that on an accelerated basis.
Operator: We'll take our next question from Deane Dray with RBC Capital Markets.
Deane Dray: It sounds like the supply chain conditions have worsened. This is true sector wide, so no surprises there. But since your Analyst Day a month ago, you had sized $100 million of revenues that would be pushed some into 4Q and some into 2022. Where does that stand? Just your best calculation, how much did it end up getting pushed? It sounds like it was more than $100 million.
Sandy Rowland: Deane, I think let me size it up. I think 30 days ago, we thought that we'd have somewhere between $35 million and $40 million impact in the third quarter. We saw about $50 million impact in the third quarter. About half of that was related to chip shortages and the other half related to sort of other supply chain delays. As things tighten, we've probably sized Q4 right around $120 million. And the greatest impact will be, again, on the chip side. And that's why you see the guide in our M&CS business down in Q4 quite a bit.
Deane Dray: And if you just step back, it really does sound like the meter side of your business is most impacted because that does have exposure to semiconductors. So if you think about the shortfall, how much of that is centered in your meter business?
Sandy Rowland: When I look at Q3 and Q4 combined, I'd say about 65% of the impact is in our metrology business.
Patrick Decker: And the large majority of that impact, Deane, in Q4 is the metrology business. And again, it's not a demand issue, so it's simply shifting to the right. And something I don't think we shared in our prepared remarks but it's important, I think, for everyone to see is when you look at the, whether it be the issues around getting access to chips, whether it be the port delays, the logistics challenges, the margin on our backlog which has shifted to the right is equally as attractive as we had laid out at Investor Day. And so we're not giving up margins to chase volume here and that's where I think the partnership with our customers has been really, really important.
Deane Dray: And how about -- just to stay on that backlog margin thought for a moment. Are you doing any, like, partial assemblies? We're hearing companies that are just lining up partial, nearly completed products in the hallways and so forth. And the reason this is important is when you do end up shipping those in the following quarter, you've already expensed a portion of that assembly and labor and so forth, so it actually goes out with decent margins. But just are you doing partial assemblies and where does that stand?
Tony Milando: Yes, we absolutely are. You'd see our inventory ticked up a bit and part of that is a result of parts coming in being rescheduled but also prebuilds with waiting for those extra parts to come in so we can ship them out. So we're absolutely doing that.
Deane Dray: And Tony, I love the color about using smaller ships and different ports. We're hearing about other companies doing that, so we applaud those efforts and keep up the good work.
Operator: And we'll take our next question from Saree Boroditsky with Jefferies.
Saree Boroditsky: The de-watering business and Water Infrastructure seemed like it was really strong. Can you provide more color on how you're thinking about demand in that business going forward, and should that be a tailwind for margins?
Sandy Rowland: When we look across the portfolio and within our Water Infrastructure business in the third quarter, this was a bright spot for us. We saw 8% growth in the quarter. On revenue, we saw strong orders and the cost structure in this business, when we do get growth, it helps us from a margin perspective. So I do want to shout out Emerging Markets doing really well in this business. We're seeing good strength in mining and some of the other industrial markets. And that's been a key part of our growth.
Patrick Decker: And it definitely is. It's one of the highest kind of margin accretive businesses in the portfolio when we get that volume growth, so that certainly will help us as we go into '22.
Saree Boroditsky: And then just sticking with M&CS. How does pricing work on some of these long term contracts? Will we be able to get price for some of the supply chain inflation that you're currently seeing within the current backlog?
Sandy Rowland: So I think this is -- we're pretty well positioned here. The way most of our M&CS contracts work, the longer term ones, there are escalator clauses embedded in those contracts where we look at a basket of price indexes and then we're able to adjust our prices based on where the index is.
Patrick Decker: And this is a historically consistent situation that we've seen in the past when there had been periods of upticks in inflation or supply challenges. And part of the reason why we have that flexibility is, again, we're not in this alone. Our competitors are also dealing with supply challenges. But two, it also is the fact that these deals, when they've been approved by regulators and authorities, are being approved because they're going to be generating significant revenue for utility. So it's in their best interest to go ahead and move these things forward even if they have to wait or take on some adjustment in price escalation. It really comes down to what our overall value proposition is with those utilities.
Operator: We'll take our next question from Andrew Buscaglia with Berenberg.
Andrew Buscaglia: So I guess, the margin dynamics impacting M&CS, but can you talk a little bit about -- you did so well in Water Infrastructure on margins. Applied Water was just a little bit below what I was thinking. So I guess, what are the differences there that would impact margins between those two segments?
Sandy Rowland: So I think there's a couple of dynamics. One was one of the points that we talked about through an earlier question. You saw the uptick in the dewatering business and that's good mix for us, so that helps margin. I think the other impact was there's some differences in inflation impacts between what we saw, for example, in our Water Infrastructure business and our AWS business. So it was more modest in our Water Infrastructure business.
Andrew Buscaglia: And you talked about utility weakness. I'm wondering, are you seeing any initial signs of hesitation around spending, given that this infrastructure stimulus seems to be dragging on, we don't have quite the clarity we thought we'd have at this point in this year?
Patrick Decker: No, we've not seen any signs of that and our bidding pipeline continues to be very robust. And again, the conversations that we had with, again, these 500 plus utilities at our Reach Conference, which is not just around metrology, this actually -- beginning of last year was the first time we had turned that into a Xylem Reach conference, it used to be Census. And so the conversations we're having with utilities there are across the entire portfolio of solutions. I've said before, I think that there is historically not really ever been of reliance at the utility level on federal government subsidization or funding, so nobody is kind of relying on that in a significant way. Again, the orders activity in the US was up very, very strong. And again, it really just comes down to some of the port and shipping delays that we're working through. But we've seen no hesitation in demand or order outlook.
Andrew Buscaglia: So those orders just keep you confident that the demand's still there, I guess, as long as we don't see cancellations, that you feel confident there?
Patrick Decker: That's correct. And again, I would reinforce that it's not just the orders in the backlog but it's the margin on those orders in the backlog that remains robust.
Operator: We'll take our next question from Nathan Jones with Stifel.
Nathan Jones: I just wanted to go back to [M&CS] for a minute, just under $320 million of revenue in the third quarter. The guidance looks like it's maybe $300 million of revenue or slightly below that. Is that kind of the level of revenue that you're restricted to with these chip shortages, logistics shortages, and that's the way we should think about at least the next couple of quarters, three quarters until some of this stuff starts to loosen up, or are there product redesigns or other things that you can do to try and boost that in the short term?
Sandy Rowland: I think, Nate, if you look at our guide for Q4, we're right in that neighborhood. We think that over time, the chip supply is going to improve and so that will gradually ramp. I think we've also seen some strength in some of our other businesses outside of metrology, which have opportunity to grow sooner than that. So assessment services is part of our portfolio. Our test business is a key part of that portfolio with really good margin structures. So we can grow there. The chip supply will constrain us over the next couple of quarters but we do expect that to gradually recover.
Patrick Decker: And again, Nate, again, I go back, this is not a demand issue. So it's simply a matter of when we're able to convert these orders into revenue. And again, we're not seeing any signs of cancellations, and the margins remain strong. So I know you've heard me say that a number of times this morning but I think it's an important point to reiterate.
Nathan Jones: No, I'm just trying to get an idea of what the first half of '22 might look like in M&CS…
Patrick Decker: And Nate, we're trying to give you a responsible prudent view. There is a fair amount of uncertainty out there, not around backlog or margins but we're trying to -- again, we're trying to be balanced here.
Nathan Jones: Yes, it's about getting it out the door and not getting the orders in the door.
Nathan Jones: On the localizing supply chains question that people have been asking about, I mean, the contract manufacturing that you're doing and the importing that you're doing, I assume it's mostly on the technology side and it's coming from Asia to Europe and the US. Is it even possible to localize that manufacturing? Are there suppliers that you could leverage in the US and Europe to localize that? Is it just cost prohibitive because they're much higher cost than Asian suppliers would be? Just is it even possible to do that?
Tony Milando: So our large contract manufacturing -- we use contract manufacturers everywhere, but the largest one that we have is in Mexico actually, and so that's really supporting our US business. So it's largely the assembly and some of the componentry is localized here. Now granted, the electronics are coming from Asia and so we continue to look at possibilities to bring that closer. That will be a bit -- I mean, that's not something that we're looking to do necessarily but that's largely localized right now.
Nathan Jones: Is it just not possible to localize that from Asia?
Tony Milando: On the chip side, it will be something that I think we'll wait for the supply base. The supply base is a little thin for chip suppliers in North America, so most of that still comes from Asia.
Operator: And we'll take our next question from Connor Lynagh with Morgan Stanley.
Connor Lynagh: I wanted to return to Water Infrastructure and I wanted to clarify a comment you made before. Obviously, orders have been very strong within that business and I think you called out the de-watering business, in particular, as an area of strength. But is that the main driver of the significant increase in orders this year or are there other areas that you would point to?
Sandy Rowland: In orders growth, the orders growth has been really across the board in Water Infrastructure. It's impacting -- we're seeing good growth on the treatment side and the largest part of our business is transport, and so orders there have also been very strong.
Connor Lynagh: And then just thinking through that strength, I mean, this might actually be a better question for just the whole company, but you called out some change in the typical order intake to actual revenue conversion or shipment timing. I'm curious how different that looks versus history, because basically the order intake would suggest that 2022 is going to be quite a good year for a lot of the segments but just hoping you could sort of frame how we should risk that relative to history.
Patrick Decker: We won't comment yet on '22. We'll come back around to that in our next earnings call as we give guidance for '22. But yes, we do not have a demand issue here in Water Infrastructure. And the challenges that we saw in Q3 and we're weathering in Q4, we do believe to be more transitory and it really was around, again, some of the port delays and other freight challenges and shortages. So we think we'll get through those over the coming months here. And yes, we feel good about Water Infrastructure going into '22.
Sandy Rowland: And I think the other question you had was about conversion time between when orders get placed and when it converts to revenue. And certainly, there is an increase in demand, strong demand. You don't put up orders growth of the magnitude that we're posting. But we do acknowledge, everybody is recognizing that lead times are getting longer across the board. And so there is a bias for customers to put their orders in a little bit earlier than they usually have.
Operator: And we'll take our next question from Pavel Molchanov with Raymond James.
Pavel Molchanov: You alluded to the fact that everybody is in the same boat in terms of supply chain complications. With that in mind, are you seeing any distressed M&A opportunities in terms of acting as a consolidator with regard to some smaller players for whom these supply chain issues are perhaps even more problematic than they are for blue chips?
Patrick Decker: We definitely see ourselves as being in a privileged and strong position from an M&A standpoint, whether it be, again, our financial wherewithal, our bandwidth to do M&A, both financial and human, the balance sheet. And so we still remain very confident on that front. I don't know that I would say that the chip shortage and supply chain challenges are necessarily unlocking any opportunities that we would not have already had in our pipeline. We remain continued focused on what our priorities are strategically in that area. And that really is around, we see some opportunities to do some bolt-ons with utilities. Industrial, commercial building continue to be areas that we are very positive and very focused on. Again, it takes two to tango. And so again, we'll keep you updated on that. We're very confident. We're very excited about the M&A pipeline. But I wouldn't say it's changed dramatically because of the supply chain situation.
Pavel Molchanov: A quick follow-up on the opportunity in Europe. Obviously, a lot of emphasis on the reconciliation and the infrastructure builds in Washington. But given that the European Union Fit for 55 package is already finalized and very much being implemented, I'm curious if you've seen a pickup in customer activity orders from the EU within the context of their climate policy.
Patrick Decker: I would say that not in the immediate term, although, I would say we are hearing more and more discussion around that. And so we see that as being an opportunity a bit further out. And I think even the conversations around COP26 are providing a backdrop. And as I mentioned in my opening comments, we're going to be very prominent there as is the water sector. And so we do think that, that bodes well for demand but it's down the road. It takes time for these to convert into orders.
Operator: And we'll take our next question from Brian Lee with Goldman Sachs.
Brian Lee: I know you all alluded to this, but I just wanted to understand a little bit more. If I look across the three segments, it seems like price hasn't read out as much in M&CS versus Water Infra and Applied Water. You mentioned sort of the inflation escalators in some of the contracts and then some of the, I guess, regulators stepping in and approving those. But can you sort of give us a sense of the time line for that, is that sort of an annual review? And then if you do have unregulated utilities in your mix for the meter business, is the construct the same or is that case by case?
Sandy Rowland: So one thing I think to level set. If you look at, first of all, inflation where it hit us the hardest, it has been outside of our M&CS business. It's been higher because of the types of commodities that we purchased that we've seen greater inflations in these other two segments. Those contracts have those escalator clauses. They come at different times and we are seeing favorable price coming through in M&CS.
Patrick Decker: So just to add to that, Brian. When you look at our metrology business, which is where the largest majority of our longer term deals reside, we typically have price escalation clauses built into them and those are negotiated on a deal-by-deal basis. And so we expect that to roll through as those orders get implemented. And so we're less concerned around the margin expansion or price realization in that part of our company.
Brian Lee: I guess that's sort of a segue into the second question I had. Just in general, there's been a lot of discussion here on the call around the chip shortages you're seeing. In terms of inflation, it does sound like it's less of an impact in that segment versus the others. Can you kind of give us a sense of what you're seeing there? And then at a company level, I think you're talking about seeing price costs go positive here in Q4. Would you say that's the same sort of time frame for M&CS or is that more into 2022 as you see price read out?
Sandy Rowland: Brian, I think I mentioned a little bit earlier on the call that across the company, we were neutral from a price cost perspective in Q3 and that we expected that to turn positive in Q4 as we're seeing price realization sort of ramp sequentially through the year. And so we feel like in the first part of 2022, we'll continue to see that trend as well. So our teams have worked really hard to be thoughtful and responsible as it comes down to price. This year, we've taken multiple price actions. When we look sort of at our expectations around where we thought inflation would be, we thought it would be across the company around 3% at the beginning of the year and it's going to turn out to be closer to 5% on an annual basis. And so that's been the reason we've gone out with these price increases to keep that in balance.
Operator: We'll take our next question from Ryan Connors with Boenning and Scattergood.
Ryan Connors: A couple of questions, sticking on the supply chain. I wanted to get your take on something that we've begun to hear just in the last week or so from some of the macro economists about sort of a surge in double ordering and even triple ordering in all sorts of products across the economy. And so I'm curious about what your take is on that on both sides of your business. Do you think there's any of that going on in terms of the orders that you're seeing from customers? And then on your side, are you doing any excess ordering and chips and other things to kind of stockpile supply to sort of place multiple orders, hope something gets through in time?
Patrick Decker: I'll go first and then I'll have Tony talk about what we're doing on the ordering side ourselves. I would say where we've seen some of that uptick and people trying to get ahead of the supply chain constraints has actually been more around the port delays, the logistic challenges and some of those orders that we see, it's hard to put a specific number on it. But the order growth, I think, certainly in Water Infrastructure and most notably, Applied Water, some of that certainly, which is largely book-and-ship business, has been people trying to get ahead of the supply chain delays. Not that we aren't seeing any of that within M&CS but the large majority of that business, again, is driven really by some of these large deals and those orders converting. So there's some ordering in advance but it's less prominent there than it is within the other two segments. And Tony?
Tony Milando: And Ryan, I would just add that we're not doing double or triple ordering. What we are doing is working with multiple suppliers to try to get parts wherever we can, whether it's brokers or distributors or the IDMs. But I mean, that's a natural outcome of the bull up effect is to double and triple order and double down on these things. But we're not doing that here. We're just working with multiple suppliers.
Ryan Connors: And then my other one just had to do with another thing that's been in the news a lot in the quarter is sort of labor issues and strikes and some big industrial companies like Deere, for example. And your own financials reports say 17% of your US labor force is unionized, I believe most of that is census. Anything coming up there in terms of CBA negotiations or anything that you could share with us there?
Tony Milando: No, nothing with our unions. We have very good relationships with the unions around the world, particularly in the US. We are seeing labor tightness, as we mentioned earlier in the script, particularly in the US, not so much in Europe or Emerging Markets. But we're not anticipating any challenges with our unionized facilities.
Patrick Decker: And I would just add there as well that where we are seeing some of the labor tightness is in some of our distribution locations around the US where we are in high-traffic distribution centers competitively, and that's obviously a very tight part of the labor market right now. So we've been taking actions to try to be more flexible, to try to get the workforce in, hiring ahead, knowing that we're going to have some natural attrition. But as Tony said, it's really not to do with our unionized workforce.
Operator: And at this time, I will turn the call back over to Mr. Patrick Decker for any additional closing comments.
Patrick Decker: Well, thank you all very much. Really appreciate your interest, your support. I know we've covered a lot here this morning. I look forward to our follow-up conversations with many of you and we'll see you on our next earnings call. And in the meanwhile, stay safe, stay well. And again, I just want to say thank you to all of you who have been a part of this journey of ours over the last 10 years as we celebrated yesterday our 10th anniversary of trading for the first time as Xylem. So thank you all very much and we'll be back in touch.
Operator: Thank you. And this does conclude today's Xylem's third quarter 2021 earnings conference call. Please disconnect your lines at this time, and have a wonderful day.